Operator: Thank you for standing by. My name is Danica and I'll be your conference operator today. At this time, I'd like to welcome everyone to the ArcBest Fourth Quarter '23 Earnings Conference Call. [Operator Instructions]  I would now like to turn the call over to David Humphrey, Vice President of Investor Relations. Please go ahead.
David Humphrey: Thank you for joining us. On today's call we'll provide an update on our business, walk you through the details of our recent fourth quarter and full year 2023 results, and then answer some questions. Joining me today for the prepared remarks are Judy McReynolds, Chairman, President and CEO ArcBest; and Matt Beasley, Chief Financial Officer. In addition, Seth Runser, President of ABF Freight; Steven Leonard, Chief Commercial Officer and President of Asset-light Logistics, Dennis Anderson, Chief Strategy Officer; and Christopher Adkins, Vice President of Yield Strategy & Management are available to answer questions. To help you better understand our best and our results, some forward-looking statements could be made during this call. Forward-looking statements, by their very nature are subject to uncertainties and risk. For more complete discussion of factors that can affect our best future results. Please refer to the forward-looking statements section of our earnings press release and our most recent SEC public filings. To provide meaningful comparisons certain information discussed in this call includes non- GAAP financial measures as outlined and described in the tables in our earnings press release. Reconciliations of the GAAP financial measures to the related non-GAAP measures discussed in this call are also provided in the Additional Information section of the presentation slides. As a reminder, there is a conference called slide deck that can be found on the ArcBest website arcb.com in exhibit 99.3, of the 8-K that was filed earlier this morning or you can follow along on the webcast I will now turn the call over to Judy.
Judy McReynolds: Thank you, David, and good morning, everyone. 2023 was a special year as we celebrated our Company's 100-year anniversary. This extraordinary milestone reflects ArcBest resilience, innovation and customer focus and we recognize this accomplishment with events and programs throughout the year, including supporting our communities with over $1 million of Centennial giving. As we looked back on our past, we remain focused on our present and future. Despite a slower freight market, ArcBest delivered solid fourth quarter and full year results. Thanks to our diverse portfolio of solutions, our investment in technology and innovation and our commitment to operational excellence. We continue to serve as trusted advisors to our customers, helping them navigate a complex and evolving logistics landscape with our integrated service offering and century of experience.  Let me share with you some highlights from the year. We achieved annual revenue of $4.4 billion the second highest in company history. We implemented cost cutting measures that improved our asset based operating ratio in the third and fourth quarters our and we believe these measures will benefit us as the market recovers. We participated in 90% more new business LTL bids and increased our wins by more than 150% when compared to 2022. We finalized a 5-year labor agreement last July, reflecting our strong employee relationships. We accelerated our existing service center facility plan, increasing our asset-based capacity. We grew our asset-light shipment volume, while improving key productivity metrics. We better aligned our business with our growth strategy by selling FleetNet America for $100 million. We launched the Vaux freight movement system which was recognized by Vaux company and time as one of the year's best inventions. And we invested in our business while also returning over $100 million to shareholders through dividends and share repurchases. Our employees hard work and dedication did not go unnoticed and I'm proud of the more than 40 awards we won in 2023, including the American Trucking Association's Excellence in Cargo Claims and Loss Prevention Award, making ABS the only 10 time winner of that award. Ranking number 20 on Freightwaves Freightech 25, receiving five Quest for Quality Awards from Logistics Management readers. Earning our third EcoVadis bronze medal placing us in the top 50% of rated companies for sustainability and being named to Forbes list of America's best in state employers for the fourth consecutive year.  Furthermore, three of our ABF Freight drivers our recently chosen as America's Road Team Captains for 2024 and 2025, a tremendous honor that showcases their excellence, professionalism and safety record. They joined a team of 21 other captains who will represent our and travel across the nation to educate and inspire others about the importance of trucking. Finally, 2024 marks the 40th anniversary of our quality process, a program that has shaped ArcBest into the efficient and effective organization it is today. Our customers expect us to deliver a high-quality product, which means excellent service. To celebrate this milestone, we are reenergizing our focus excellence this year, striving for daily excellence in everything we do, no matter how big or small as we embark on our journey into our next 100 years. Now I'll turn it over to Matt to take you through the results in greater detail.
Matt Beasley: Thank you, Judy, and good morning, everyone. I'm pleased to report that ArcBest delivered solid financial performance for fourth quarter and full year 2023 despite the softer market. Let me start with an overview of our consolidated results. In the fourth quarter of 2023, we generated $1.1 billion in revenue, down 6% year-over-year mainly due to lower revenue in our Asset Light segment as a result of lower truckload brokerage revenue. Consolidated operating income on a non-GAAP basis was $81.7 million, which was comparable to the same period last year. We achieved a slight increase in adjusted earnings per share reaching $2.47 up from $2.42 in the fourth quarter of 2022. Before year 2023, revenue was $4.4 billion, down from the record revenue levels in 2022. Our non-GAAP operating income was $258 million and adjusted earnings per share were $7.88, which were both down from the prior year. Now, let me turn to our segment results starting with our Asset-Based business. In the fourth quarter, our Asset-Based revenue with $710 million in line with the same quarter last year. We also improved our non-GAAP operating ratio to 87.7%, a 90 basis point improvement year-over-year and 110 basis point improvements sequentially. This is a notable achievement considering that historically our fourth quarter operating ratio was 100 to 300 basis points higher than the third quarter excluding pandemic affected periods. This accomplishment highlights our collaboration value and was a result of disciplined pricing, operational efficiency and cost management as well as our ability to respond quickly to customer needs due to our integrated approach. I want to thank our employees who contributed to this outstanding result. Our fourth quarter tonnage per day decreased 7.2%, while our daily shipments decreased by less than 1%. These declines were driven by lower transactional volumes due to higher transactional prices. Our core LTL daily shipments grew by over 10% year-over-year in the fourth quarter and our fourth quarter revenue per hundredweight including fuel surcharges increased by 6.8%. We secured an average increase of 5.6 on our Asset-Based customer contract renewals and deferred pricing agreements during the quarter, which was the highest quarterly percentage increase we've achieved for these types of accounts since the third quarter of 2022. For full year 2023, our Asset-Based revenue was $2.9 billion down 4% from 2022 and our non-GAAP operating ratio was 90.4%, up 400 basis points from the prior year. Looking at preliminary January 2024 results, total shipments and tonnage declined from 2023 levels due to lower transactional shipments as a result of higher transactional prices. In addition, due to smaller customer orders and changes in freight profile and business mix, our average weight per shipment in the Asset-Based segment decreased year over year. Despite the softer freight environment, our Asset-Based segment core shipments and tonnage have increased on a year-over-year basis. We remain agile responsive to market changes and are ready to scale up as demand increases. Excluding pandemic affected periods, the average sequential change in ArcBest Asset-Based operating ratio from the fourth quarter to the first quarter over the past 10 years has been an increase of about 400 basis points with larger increases occurring during declining economic environments. For more details on our January trends, please refer to the Form 8-K exhibit we filed this morning. Moving on to our Asset Light segment, fourth quarter revenue was $413 million, down 14% year over year on a daily basis. Shipments per day increased 12%, driven by higher demand for our maintenance solutions, while revenue per shipment decreased 24% due to continued softness in market rates. While we reduced operating expenses and improved productivity, the segment saw a non-GAAP operating loss of $1 million for the quarter.  For full year 2023, asset-light revenue was $1.7 billion down 21% from 2022 on a daily basis. Our shipments per day increased 5%, while our revenue per shipment decreased 25%. Our full year non-GAAP operating income was $5 million and adjusted EBITDA was $13 million.  We also provided preliminary asset-light business trends for January 2024 in the Form 8-K exhibit filed this morning. We continue to see lower revenue levels as shipment growth is offset by lower revenue per shipment in the softer market. Purchase transportation expense as a percentage of revenue increased as we saw more limited carrier capacity after the holiday season and during several winter storms.  I'm pleased to share that our business momentum in 2023 generated robust cash flow and ArcBest consolidated adjusted EBITDA from continuing operations reached $370 million. Our business performance and solid financial position enabled us to strategically invest for the future in 2023, including investments in equipment, real estate, technology and innovation, while returning over $100 million to shareholders through share repurchases and dividends.  Our net capital expenditures in 2023 including equipment financing were $245 million of which $144 million was allocated to revenue equipment. We faced some challenges with manufacturing delays and part shortages last year, which resulted in a portion of our planned 2023 CapEx primarily for new city tractors and trailers being deferred to 2024. The supply chain issues that affected our tractor and trailer orders have mostly been resolved, lead times are shortening and we are anticipating the same level of revenue equipment CapEx carry forward in future periods. We also had some real estate project work that will carry over into 2024.  For 2024 including financed equipment, we anticipate net capital expenditures in the range of $325 million to $375 million. This includes $155 million of revenue equipment and $130 million of real estate. Remaining amount includes items related to technology and miscellaneous dock equipment upgrades and enhancements.  We are constantly evaluating opportunities to expand and enhance our ABF network. In January, we purchased three Yellow facilities for $30 million and spent $8 million to acquire the lease for another Yellow facility. These locations are part of our long-term facility roadmap, are strategically located in their respective markets and are more cost effective than new construction.  The Yellow auction process highlighted the value of LTL real estate assets, while underscoring the high barriers to entry in the sector. We are currently evaluating additional real estate investment opportunities and we'll provide you with more updates as opportunities develop. As always, we are being disciplined and prudent and expect that any investments will generate attractive returns. As you may recall, in February 2023, we announced $125 million share repurchase program in conjunction with our fleet net sale announcement. We recognize that repurchasing undervalued shares creates value for remaining shareholders as valuation gaps narrow. I'm pleased to report that we repurchased almost 1 million shares over the last year at an average price of less than $100 per share for a total of almost $100 million. I'm also pleased to report that yesterday, our Board of Directors increased our share repurchase program authorization to $125 million. This will allow us to continue returning capital to shareholders, while maintaining sufficient liquidity and financial flexibility to invest in our business and pursue strategic opportunities. We intend to continue executing this program in a disciplined and opportunistic manner. As Judy mentioned, we are proud of ArcBest's performance in 2023. We leveraged the company's century of experience, customer centric approach and solid financial position to navigate a changing market while pursuing long-term growth and profitability. In November 1993, our former Chairman and CEO, Robert A. Young III dedicated a grove of trees on one of our campuses to the retired men and women of ArcBest who planted seeds for the company's success. As we enter our 2nd century, we continue planning and investing for the future and remain confident about the opportunities ahead. Now I'll turn the call back to Judy for some final comments.
Judy McReynolds: Our fourth quarter and full year performance is a testament to the experience, values and of the entire ArcBest team. I'm honored to work with such a talented group of people who always go above and beyond. I want to emphasize that we are not only focused on managing our costs, but also on investing for growth. We are investing in technology to enable our employees to work smarter and more efficiently. We are not just following the trends, but leading the way with our AI projects, which have already delivered significant efficiency gains and our poised for further development. Our city route optimization project has contributed over $1 million per month in operating income improvement and we've begun a pilot to extend this program into our shipment pickup process. We are investing in solutions to deliver exceptional value to our customers. We pay attention to customer feedback and collaborate with them to solve their logistics challenges.  One of the common requests we hear from them is to have more visibility into their shipments even before they are picked up. And that is why I'm excited to share that we are launching a new feature on arcb.com tomorrow that will give our customers real time pre pickup status information for LTL shipments. This is just one of the many digital toolset enhancements that we're developing and rolling out this year. We're investing in our people who have the heart of our success. We have built an industry leading employee experience fostering engagement and productivity. And I'm proud to say that we have the best team in the industry, sentiment routinely echoed by our customers. Over the last year, we have evolved from our beginnings as a local freight hauler into a leading logistics company that keeps the global supply chain moving. ArcBest has differentiated itself through our unrelenting customer focus and suite of full service logistics solutions, including our own assets, which makes it easier for our customers to do business. Our continued investments in technology, solutions and people benefit our employees, customers, capacity partners and shareholders. As we enter our 2nd century, we are better positioned than ever to capitalize on the vast market opportunity available to us by partnering with our customers to solve their most complex logistics challenges. That concludes our prepared remarks, and I'll turn it back over to David Humphrey.
David Humphrey: Okay, Danica. I think we're ready for some questions.
Operator: [Operator Instructions] Your first question comes from Jason Seidl with TD Cowen.
Jason Seidl: I wanted to talk a little bit about January trends that you guys sent us. How much of it do you think was weather impacted? And then can you guys also remind us when we start lapping the transactional business declines?
Judy McReynolds: Yes. Seth, do you want to talk about the weather impact? 
Seth Runser : Yes. On the weather side, so obviously winter weather comes every year. It's nothing new to us, but January was a little bit more extreme than traditional Januarys that we've seen. So in January, we had about 130 service center closures due to weather. And if you look at our trailing 10-year average, it's about 57 service center closures in January. So, for the full first quarter, we generally average about 174 closures on a 10-year average. So, we're already at about 75% of that and we're just getting into February. So, January was pretty extreme from a weather perspective. But proud of the team that we fully recovered, network is back on cycle and we feel good that we're positioned well.
Jason Seidl: And where were you guys’ last year? 
Seth Runser : On weather you're saying? On the amount of closures? 
Jason Seidl: Yes, on service center closures, yes. You gave a 10-year average, but last year if I remember was kind of a light winter?
Seth Runser : Yes. It was around that 10-year average 57%. 
Jason Seidl: It was around. Okay, perfect. 
Matt Beasley: I'm going to ask Christopher to jump in here also.
Christopher Adkins: Hey, Jason, good morning. Hey, I'm going to the transactional business, really that first half of 2023 is where we've relied more heavily on that. And then as you think about the market disruptions in the second half, that's where our core business took a pretty meaningful step up where we were able to swap out that transactional business for more core business. So, I would say first half of 2023 is when we are more reliant on that transactional. 
Operator: Our next question comes from Jordan Alliger with Goldman Sachs. 
Jordan Alliger: You mentioned the 8-K, I think that traditional or typical seasonality 4Q to the 1Q is about 400 basis points worse or higher depending on I guess the economic condition. So, is there a way to think about the plus minus this year? You have still soft economy, but you're really shifting hard into the core LTL shipments, which I assume is favorable for profitability and mix. So how do we think about that interplay? Thanks. 
Matt Beasley: Yes. Jordan, this is Matt. So, you're right. Over the last 10 years, excluding the pandemic affected periods, about a 400 basis point increase that we've seen in operating ratio from the fourth quarter to the first quarter. There's certainly a few other factors that are in play this year, I'd say, one, just some of the market disruption impacts that we saw in the fourth quarter. Obviously, there is, as you mentioned, the substantial increases that we've seen on our core business over the last few months that we're carrying into this year. We already talked about a little bit of weather impact and certainly, fuel has come down some over the last a month or so. And so I think those kind of are just a few items that I would highlight in addition to maybe what we had seen on a historical basis sequentially. 
Judy McReynolds: The other thing I'll mention, Jordan, is that we did put in some cost controls, really back in, say, the August timeframe that have carried forward into the first quarter as well. So, we have the union contract increase. I think that was, I mean, that was there in the fourth quarter, it will be there in the first quarter.  Another item is just that the union incentive will apply in all of 2024. So, that's a factor. But we have put in cost controls. And then, if you take a look at the fourth quarter, you'll know, pretty good decreases in cartage and purchase transportation and rented equipment, all of that is still in place. And so that's a relatively consistent comment, I guess, to the fourth quarter. There's a lot going on here, including the weather that Seth mentioned earlier. We're looking forward to having the month of February hopefully with maybe fewer storms or something to be able to look at. But I'm really pleased with the strength of our core business, The opportunities that we're seeing in terms of bids and our win rate and that's helpful as we think about the rest of 2024.
Jordan Alliger: Certainly, a lot of puts and takes, but I think the 4Q did better than seasonality. So I don't know, I guess the weather makes it a little tricky, but as you said, the cost controls are still in place. So maybe it could look a little bit better than normal, who knows?
Matt Beasley: No, you're absolutely right, Jordan. Yes, we definitely saw great improvement from the third quarter to fourth quarter that was ahead of what we would have expected seasonally for those quarters.
Operator: Our next Question comes from Ravi Shanker with Morgan Stanley.
Ravi Shanker: One last question on your CapEx. Your CapEx is stepping up somewhat from 23% to 24%, but you've seen some of your peers pretty significantly ramp up their CapEx into 2024. Is that something you consider kind of is there a risk that others may spend more and kind of end up with more capacity have more opportunity for growth. And how are you thinking about that for next year, for this year?
Judy McReynolds: Ravi, I think that, what we're doing specifically is just relative to a very purposeful plan that we had in place, I think in our presentation that we put out there today, there's a facility plan outline there of how the doors that we have in the network have increased since 2021, I think it's on page 10 of that. And so that could be instructive for you. But it is interesting all that's happened because we were embarking on a facility plan to really make more efficient some of the facilities that we have improved, some of the existing facilities and then also to add facilities in areas where we knew that we had great opportunities for growth. So it's very purposeful as we think through it. So when we were looking at the auction properties that were available and considering what we would bid and then I guess you can see what we ultimately won. All of that fit together pretty well. And the other thing was, I was really proud of our team for how informed we were about the values that should be paid. And as we looked at those, we knew that we would really gain some benefit from them. And so I see what we've done is really an efficiency gain as well as a growth opportunity and that's really a win, win for us over the longer term. I feel like that there's a lot going on with other competitors. I'll just let Christopher comment about from a pricing standpoint, I think that's the ultimate concern, what your view of that is.
Christopher Adkins: Sure. So really as you think about all the investment that's going into other carriers' networks that to me that's a level up in terms of the cost basis that they have to cover for. So I expect that could lead to some positive trends in pricing. And the other thing is that as other LTL carriers are investing in their networks, we collaborate with them from a managed perspective. We work really, have some really strong relationship with those other carriers. And so we see just as they become stronger in the market, we see an opportunity for us to collaborate even stronger with them to find mutual win, win opportunities. 
Operator: Your next question comes from Ken Hoexter with Bank of America. 
Ken Hoexter: So, talking about that I guess, to your met, you're looking at your yields up your new adds up 5.6% I guess best in class just a little bit higher than that, up just over 8%. Can you talk about your service levels? What's left on the core versus transactional mix in order to still convert back to core, because it looked like core was up while a big down dip on the transactional? So maybe just kind of walk us through that to understand the transition still to occur? 
Matt Beasley: Yes. I would say on the service levels, we've returned to our historical levels. We've been in a good place now for quite some time. Judy mentioned the external recognition and I'm proud of the team being the only 10 time winner of the Excellence in Cargo Claim Prevention Award for the ATA. And we go head-to-head with our all of our competitors there.  So, as we shift to 2024, we talked about that focus on excellence and our quality process, the 40-year anniversary, and we've had that in place and it's really ingrained in our culture when you think about it. It's one of our core values, excellence. So we have a lot of initiatives in place to take service offering to another level to be honest with you in 2024. That includes tactical execution, our shipment visibility tool, which Judy mentioned, we're rolling out some new pre-pickup statuses tomorrow to all of our customers. We're testing a lot of digital tools with a small group of customers right now. We expect those to be installed mid-2024, and that's really going to expand the digital functionality across all of our service lines. And we mentioned our focus on compliance last quarter. We have a team that's going out to the field. It's a team of operational experts that are getting with some of our newer folks and get them trained up to run an efficient operation. And the better efficiency you have, the better it's going to translate to service.  So, I'm excited about our high-level service we already offer and this focus on excellence than just our history with the quality process is only going to accelerate that as we move forward. 
Ken Hoexter: Do you provide kind of cargo claims levels or on time performance numbers relative to peers or is that not given? 
Judy McReynolds: Well, I mean, Ken, I think there's a lot to consider when you do that. And so our preference is to not do that, but it's not because we're shy about it. I mean our service levels are good and customers value them. But there are lots of comparison issues when you look across and we're fully aware of those. Especially because we have our managed offering and we do business with a lot of the carriers that are competitors or regional carriers and we see those differences. But on the cargo claims side, we've been best-in-class for a long time as that 10 time winning award indicates. 
Ken Hoexter: And then just to clarify, at this point, do you still talk, I don't know, excess capacity or what is available to still switch between the core and the transactional side?
Matt Beasley: So, we have opportunity, we've talked about before to do that mix update. We still have plenty of runway there to grow our core business and make room with transactional. But we also have upside just in total shipment count to grow and we've demonstrated that over the last 12 months that we can handle more business. We can bring on more of that variable expense that could give us upside in total shipment growth as well. So I don't know, Seth, if you want to speak to any of that.
Seth Runser: Yes. I would say on the long-term network side of things, we talked about the whereas we're adding there. And I really view growth and capacity. It's not just the physical doors you're adding or the people, it's also the efficiency gains that we have. So when Judy was talking about the facilities to an earlier question, what we saw as a good example in 2023 is we opened a facility in Camp Hill, and we had our Carlisle facility where we transferred some of that freight over to Camp Hill. And when you look at the combined operating ratio of those two locations, that's improved over 600 basis points since we opened that facility. So I view efficiency as a lever for growth. And we've seen that in our real estate plan and that's where we're investing our dollars. So I'd say overall, we probably have about 15%, 20% latent capacity right now. So we feel pretty good about where we're at from people standpoint equipment and real estate perspective as well as efficiencies.
Operator: Our next question comes from Chris Wetherbee with Citi.
Unidentified Analyst: It's Rob on for Chris. Could you give us an update in terms given the terminal you guys were able to acquire from the Yellow auction. Could you give us an update on your thoughts about the total shipments per day you're targeting in the network today relative to the $20,500 you guys were talking about last quarter?
Matt Beasley: Yes, I would say it's really fluid to be honest with you. So we're targeting honestly as much growth as we can get. So I would say in the, what our real estate plan is based around is around 25% growth and that's really what we're trying to achieve in the longer term obviously. But I would say we're really doors wide open on the growth side of things.
Judy McReynolds: And then you might get in the detail of your, of the what we bought. The locations we bought.
Matt Beasley: On the actual, Yellow real estate side of things. We purchased three properties and then did a lease buy out of one. So we purchased Des Moines, Springdale and Columbus, Ohio. But that really is part of a longer term real estate plan that we've had. So in 2022, we added about 135 doors to the network 2023 about 299 doors to the network and then in 2024, we plan to add about 347. The Yellow property accounted for 77 of those door adds. And those were markets that we're already in, we already do business in, but we saw an opportunity upgrade whether it's doors or yard capacity or whatever the case may be because we see growth opportunities in those markets.
Unidentified Analyst: And then just for my clarification piece, on the shipments per day, there's just a lot of noise in kind of core tonnage per day. There's a lot of noise given the transactional business you guys were doing. Can you speak a little bit about the sequential trend from December, from fourth quarter that you're seeing so far in the first quarter, just so we level set kind of expectations from a volume perspective?
Matt Beasley: So I think overall our shipment count is down, if you think from third to fourth. And then going into January, I think in January, we were averaging right around 19,000 shipments per day, similar for December right around 19,000 shipments per day. And like we talked about earlier, some of that is a weather effect that we think there's upside as the weather clears up to handle more like Seth was talking about. We're managing that on a day-to-day basis. Our sales, yield and operations teams are closely connected there to make sure that we're getting the right result from a short-term positioning standpoint, but also preparing ourselves for long-term growth. 
Matt Beasley: And Rob, we did share in the 8-K this morning. We are continuing to see higher transactional prices year-over-year which resulting lower transactional volumes. But core shipments, as we moved into January, were up 6% core tonnage, I'm sorry, yes, core shipments were up 8%, core tonnage was up 6% as we moved into January year-over-year. 
Operator: Our next question comes from Jack Atkins with Stephens. 
Jack Atkins: So Seth, if I could go back to something you were talking about earlier, which was sort of this idea that you're kind of positioning the network over the long-term for 25% shipment growth levels. I guess, how are you thinking about core LTL market growth over the long-term? I mean, do you think it's kind of GDP, GDP plus, just kind of what are some of the drivers there? If you could maybe talk about that?
Seth Runser : Yes. I would say it's a mix of everything. Obviously, the macroeconomic conditions, PMI, things like that are obvious indicators, weight per shipment. But the way I try to look at it is a view of our pipeline and it's robust and there's a lot of opportunities that are coming our way as shippers are looking for long-term logistics partners. And I think about how our strategy is working because being an integrated logistics company with assets allows us to respond to customers like we did throughout the turbulence in 2023. So, we leverage both of our networks, the asset-based and asset-light networks to meet our customer demand. So, when we see the shift to more core business, it's allowed us to be more strategic with our resources. And when you look at most recent pandemic years, it was challenging to find labor. So, we're trying to position ourselves for the short-term and the long-term for these growth opportunities that we see in our pipeline. 
Jack Atkins: Yes, absolutely. I'm sure there's a lot of demand for a high service network like yours. Okay. I guess for my follow-up question, just kind of back to the yield commentary. We're seeing continued acceleration in terms of contract renewal rates year-over-year in the fourth quarter. Are you seeing customers wanting to pull renewals forward or I think another carrier talked about seeing a significant increase year-over-year in renewal rates. Just the number of renewals in the fourth quarter, are you seeing that as well? We'll just be kind of curious about that. 
Matt Beasley: Yes, I don't know that we're seeing necessarily a change of trends and renewal rates. We're constantly evaluating those renewals, making sure that we're getting compensated for the service that we're providing. One trend that I am seeing as it relates to renewals and bids is that there's an interest among the shipping community in diversifying carrier base and not relying just on one carrier. So, I think that really plays well like Seth was saying into our integrated logistics approach that plays well into our managed solution, where if they want to diversify the carrier base, we have a stable of carriers that we're able to introduce to them to really de risk their supply chain to not be overly reliant on one or two carriers.
Operator: Our next call comes from Scott Group with Wolfe Research. 
Scott Group: So, I just want to go back to this core shipments, core tonnage up 6%, total tonnage down 18%, that's a pretty massive spread. At this point, what percentage of the business is this transactional? 
Judy McReynolds: Well, Scott, it's certainly lower. I mean, we use transactional, to fill in the gaps that we need. And I think what's changed from last year is an emphasis on wanting to make sure that we have. We serve, core customers well, but we also have capacity to serve them well. Last year, when you think back about where we were in a period where it was very important to us to have consistency in our network. We had brought on a lot of people. It had been a very challenging hiring environment. As we got in to later first quarter into second quarter. We were working to get our labor deal done. And so it was really important to us to keep the network working, keeping our people working and staying in a consistent place. And as we entered the latter part of the second quarter and into the third quarter. We started to hear the noise about the Yellow situation. Customers were reaching out to us. We started to see a lot of opportunity there, but we were also in early July wrapping up our labor deal. And so we saw an opportunity to really emphasized the core business opportunities that we were seeing. We also saw an opportunity to really right size the network from a resource standpoint to put the most effective resources on them. We wanted to emphasize the use of our people rather than to third party resources. And that equation has proven to be improvement in growth opportunity of the core customers, but also profitability improvement. And that's where we are as we enter 2024 as well. What we want to do is be sure that we stay in that place where we're optimizing growth, profitability and the use of our own labor and resources. And it does create some odd comparisons. I would tell you this too, the January weather also plays a role in some of those statistics. In the latter part of January, we saw much stronger you know, trends in terms of our core customers. So we really think there's a lot at play there. But sometimes when you're giving good update like we do in our 8-Ks that 1 month is just not as instructive as you'd like for it to be for the rest of what you're doing. And so just hope that you can take all of that into consideration as you're looking at it and how that affects what you're doing and thinking in your modeling.
Scott Group: I guess ultimately what I'm trying to figure out is, are you, clearly we've pivoted away from this transactional stuff, it's helping yield, it's helping margin. Are we happy with the mix today? Do we want to go even push the transactional even lower or do you think maybe in your view, if we overshot a little too much on tonnage pressure, we want to actually increase our transactional. What are we trying to take this transactional from here?
Judy McReynolds: I feel like it's in a pretty good place. We feel, we have access to a lot of transactional business. So we have the access to it, if that's what we'd like to do. But we do see that it's at a more optimal level than certainly it was last year. But we are constantly evaluating that, Scott. I mean, we do it every day. We look at the opportunity set that's there. We look at the lanes that we're running in, how that one more shipment could affect it. And so it's very, very analytically driven, let's just say. And so, but I feel like it's probably in a more optimal place today than it was in last January for the environment that we have today. Last year, we had some different objectives that we were working toward and, I outlined those already. 
Operator: Our next question comes from Ben Moore with Deutsche Bank. 
Ben Moore: Following up on the service discussion, when we look at the most recent Mastio data, it's been pretty volatile in terms of customers' perception of ArcBest service. Not sure if that's more to do with the adjustments you've made on pricing or if that highlights some deficiencies in some areas that we need to focus? 
Judy McReynolds: Yes. Go ahead, Dennis. 
Dennis Anderson: Hey, Ben. This is Dennis. And I think certainly, when we look at the Matthew study, we're not in a place that we want to be and that we're striving to be. And I think Seth highlighted some of the things from a service perspective that we're working on and have improved really even since that study was in market. And we have more coming. So, when we look at service, it's also about how we communicate with our customers. And so we talked about some of those tools, especially on the visibility side that we're providing rolling out in fact tomorrow some things on the pre-pickup side. So, definitely continue to listen to customers, make changes to make their experience better with us. And I think also you mentioned from a price perspective, certainly, it helps to be more consistent. And as we've migrated more to a core type mix here as we've been discussing, that is helpful in that consistency conversation with customers. 
Ben Moore: And maybe just as a follow-up, the team did a great job on costs in the quarter. Can you just talk about how you expect the asset based cost structure to trend throughout this year given a lower inflationary environment and also a step down in wage inflation?
Matt Beasley: Yes. So, maybe just a few comments on that. I mean, certainly we do have the contract increases that we saw in the third quarter of last year carrying into this year and then those obviously moderate significantly on a go forward basis on the contract, all of the work that we've done on the asset side that we highlighted, THAT'S continuing and in a lot of ways accelerating this year as we continue to work on service and optimization efforts. So again, all the purchase transportation and cartage and maintenance costs and just all the work that we've done as well as all the efficiency work that we've done, we expect that to continue to have impacts throughout the year in 2024. 
Operator: Our next question comes from Bruce Chan with Stifel. 
Bruce Chan: Judy or Steven, maybe just a big picture question here on the strategy at asset-light. A couple of years ago, you bought a young high growth company. Obviously, the market is changed pretty significantly since then, a lot of movement with some of your big competitors in the business. If you could maybe just share how you're thinking about how asset-light fits the model in terms of cross-selling and other synergies. And then maybe what kind of long-term growth or long-term margin profile you'd ultimately like get out of this business in a more normalized environment that would be really helpful. Thank you.
Matt Beasley: Yes. So from a strategy perspective, I mean, we are customer led, so we want to have every opportunity to say yes and help our customers improve their supply chains from an efficiency and effectiveness perspective. And so in order to do that, you have to have these services. And so we want to provide those services in an integrated way. And so we feel like what we're doing in Asset Light is a strong part of our long-term plan. And on top of that, we feel great about where we are with our people and our technology, what we're doing to build out that business and continuously improve. You mentioned the acquisition of MoLo and one of the things that we really like about that is the focus that team has on the customers. We continue to hear from our customers that we're a leader for them from a service perspective. Also from an employee perspective, we're continuously having getting recognition for being a great place to work. So that allows us to attract the right talent, which leads to a great customer experience. But overall, we see this and when you look at even our pipeline, our pipeline for opportunities, whether it be in managed or truckload, continues to grow. The number of deals throughout fourth quarter, the number of deals in our pipeline increased month-over-month, and we've seen that as we move into the first part of the year. Those services are resonating very well. As you mentioned, we are in a challenging market environment, but we expect that to improve. And then from a margin perspective, we've talked about that 4% to 6% range that we're targeting. So that's how we're thinking about it in the long-term.
Bruce Chan: And just maybe a really quick follow-up. I mean, if I look at the business today, you're roughly, call it, 60-40 ABF to Asset Light. Is that the right kind of mix of overall business? Is that something you're trying to manage to?
Judy McReynolds: What we see whenever we look at the market opportunities and our presence in some of those markets, which is relatively small. We really feel like that the asset light solutions that we have, Stephen mentioned truckload and manage, I would add expedite to that. We'll continue to, the growth there will continue to outpace the asset base growth, but that's just a level of maturity in those markets that we have. I mean, we have a national network. We're mature on the asset base side. Customers still really are compelled by the service offering that we have there, but just the math would take you to a place where over time the Asset Light could be a better part or a greater percentage, I guess, of the total that we have. And what I see about that is that would be a good thing, particularly, we talked a little bit about managed. That just gives us the closest relationship with the customer. It allows us to help them optimize their supply chain, allows us to enact the capacity that we have a relationship with, whether it's truckload or LTL carriers or it's business that runs in our own network. And I'm really excited about the growth potential there as well. What we see is a great opportunity for growth with the Asset Light solution.
Operator: Our next question comes from Tom Wadewitz with UBS. 
Mike Triano: This is Mike Triano on for Tom. So, the increase in core LTO shipments post Yellow has been beneficial from an efficiency standpoint and it's allowed you to bring down purchase transportation costs in the asset based business. Do you think there's more opportunity for PT cost reduction in '24 or are you optimized on PT given your current mix of LTL business? 
Matt Beasley: I would say we're pretty close to optimize, but we're always looking at it's almost a daily management of resource to business levels and we want to be positioned to scale up when the market turns. But those actions that we took in third and fourth quarter, they're going throughout the year and we'll continue to look for reductions where possible.  Judy mentioned the rollout of city optimization. That allows us to optimize our city operation, which in turn reduces some of these external city cartage costs. So we're constantly looking at our optimization roadmap and we feel pretty good about some of the projects that are coming online in 2024. The PT side, we're down to a pretty optimal level when you look at PT over the road type usage. So, we think that's still a pretty spot, but we could pretty good spot, but we're always looking for opportunities as we move through the network to reduce cost to be more efficient. 
Judy McReynolds: The other thing that we've done is we've hired some of the Yellow drivers. And so that helps us with the resource and line haul that added to our road board. And that's been beneficial as well and should continue to be beneficial as we go forward. 
Matt Beasley: Yes. And I think about the investments in the fleet too. So, we had OEM delays as we moved through 2020, 2021, 2022. Now that we've seen those more normalized by getting the equipment that we ordered more timely, that's going to help us reduce our rental expense as we move through the New Year.
Mike Triano: As we think about this volume growth and your ability to scale moving forward, do you think that you'll lean more on company assets, or do you think that you'll have to scale up PT as the volume growth comes in? 
Matt Beasley: I really think that we want to lean on our own assets as much as possible that's the most cost efficient and the best experience for our customers when you have one of our drivers show up. So, we're going to lean more at that side. So, when we talked about transactional business earlier, some of what we're doing there is trying to keep that consistency in business, so we can keep our headcount in a good spot for when this turns and we also have some fleet capacity as well. We've been, in the fourth quarter removing some of our older cost city units, but with the new equipment coming online in '24, we felt good about that. So, I think we're positioned well with a strategy we're deploying to be positioned when the market does turn to service our core customers. 
Operator: Our next question comes from Stephanie Moore with Jefferies. 
Stephanie Moore: Kind of a two-part question here with a little bit of a focus on maybe the underlying macro environment. So first, maybe if you could just touch on, what you're seeing on the asset-light side? Saw some pretty strong volume growth this or in the fourth quarter. So, I'd love to get your thoughts on what you're seeing there? And then maybe more of a medium-term question, kind of your thought on how the freight environment out in 2024 just based on what you're seeing today and conversations you might be having. And then, I guess, maybe similarly that same question on the underlying freight environment on the asset base side and in your LTL business if you're seeing any possible ranges?
Judy McReynolds: Stephanie, it is interesting. I mean, we were talking about this as we were gathering for the call about crystal ball that we need to have for 2024, it's really kind of interesting when you sit back and you think about the length of time that the manufacturing sector has been in recessionary category. I mean, it's almost going on two years and that's pretty unusual. You've also seen the impact of this, I guess the top-line reduction for truckload in particular and ground expedite, The fact that there's not really been a spot market to speak of, some of those things are just really unusual. And we've asked ourselves a lot about what we're looking for. And I think, the truckload team in particular has said that they feel like we're at the bottom, but it seems like we're there for a long time. And we're just waiting for the most part for capacity to exit and there are some signs that we've seen capacity beginning to exit, although, not at the pace that we would all like to see. But we look at these things over the long-term and again, I think we discussed a little bit ago just the importance of having the solution set that we have whenever we go to have a discussion with a customer that's really going to be responsive to their needs. And the only other thing I would add is this Yellow event has really helped the LTL market to have some good opportunities for core business. We have to be careful with those, because we want to be sure that it's business that works well for our customer, but also works well for us and in our network. And some of that takes time. I think we mentioned some stats about bids and winning bids and that sort of thing. We're encouraged by those and they're running all of that's kind of running counter to what's going on in the macro. And that's a really good thing. But we're pleased with how we're positioned and we do see that our strategic positioning is such that we can be in those conversations even if the LTL network is not the ultimate decision that the customer makes. And I really like that. It's like our company is set up well for what's happening as far as the Yellow event and where that business ultimately lands. But I'll stop there and I'm not going to give you a prediction because I don't really have one. But we are positioned well sort of regardless of what's going on in the macro, because of what we put together as an approach.
Matt Beasley: Danica, we've got a couple of repeats, so let's if we can kind of squeeze them in. We don't have a lot of time, but maybe we can go pretty quick on these last two.
Operator: We have Ravi Shanker with Morgan Stanley once again.
Ravi Shanker: Judy, just a bigger picture question for you. What percentage of the business now comes from e-commerce? We are seeing some structural shifts in the e-commerce supply chain with increasing regionalization and falling length of haul, what does that mean for the LTL business over time?
Judy McReynolds: Well, whenever I think through that just real quickly about 15% of our business is retail. Now not a 100% of that would be e-commerce, but a large percentage of it would. I can think of examples that really don't have an online presence that we do business with and we do that well. But so it ends up being I want to say 11% or 12% of our shipments whenever I think about last mile. And then again, the 15% retail, I think that gives you some perspective on that.
Matt Beasley: Thanks, Robbie. And we've got one more question, I think Danica. 
Operator: Our final question is from Scott Group with Wolfe Research. 
Scott Group: Can you just maybe give us a quick update and where we are with these innovative technology costs and what we're getting from them and then at what point if any do we need to start thinking about moving those into the sort of core OpEx number? 
Judy McReynolds: Well, it's really right now as it stands, it's creating a new revenue opportunity is what we'll ultimately gain from that. But at this point, we've got really more than one thing going on. But in the May, it's the box system. There's a box freight system that involves hardware and software and is focused on the rapid pace of loading, unloading and transferring freight takes it from hours to minutes coming out of the trailer. And then we also have the software applications that go along with that.  In the next few weeks, we're going to be introducing more offerings that are coming from that. And the pilot work that we're doing is with the Fortune 500 companies in automotive, manufacturing and retail. And some pretty exciting pilot opportunities that we're working toward. But there's it's amazing how we are experiencing the different applications of both the hardware and the software and the combinations with some of this pilot work. And so, what we find is that the shippers or customers that are managing warehouses are trying to do is access labor. They need workflows that are more efficient and they also are interested in safety and reducing claims damage. And those are all the things that are the focus of this technology, both software and hardware that we're advancing. And so, these are what you're seeing are the costs associated with that. And obviously, we're looking forward to the revenue stream that can come from that. And there's going to be more that unfolds in the next few weeks, but also as we get further into 2024 there. 
Scott Group: But I guess as the revenue picks up, do we need to start expensing some of this stuff or does, I mean, I'm trying to figure out if there's any change in accounting coming?
Judy McReynolds: Yes. I mean, I think once operationalized, yes, Scott, you would. I think the reason that we're handling it the way that we are right now is that this is pilot work that we're doing or advanced work that we're doing to get into the pilots. But it doesn't, I totally agree with you, once it becomes operationalized so to speak then it would be.
David Humphrey: Okay. Well, I think that concludes our call. We appreciate you joining me this morning and appreciate your interest in ArcBest. And so that concludes our call. Thank you very much.
Operator: Thank you, everyone. You may now disconnect.